Operator: Good day ladies and gentlemen, and welcome to The Ensign Group Incorporated, first quarter fiscal year 2010 earnings conference call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) I would now like to introduce Mr. Greg Stapley, Executive Vice President; please go ahead sir.
Greg Stapley: Thanks Marian, and welcome everyone and thank you for being on the call today. Yesterday we filed our 10-Q and issued a press release highlighting key financial results and other developments for the quarter. Both are available on the Investor Relations section of our website at www.ensigngroup.net. A reply of this call will also be available there until 05:00 pm Pacific on Friday, May 14. Just a few house keeping items to start. First, any forward-looking statements made today are based on management’s current expectations, assumptions, and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on the call. Participants should not place undue reliance on any forward-looking statements and are encouraged to review the SEC filings for a more complete discussion of factors that could impact our results. Except as required by Federal Securities Laws, Ensign does not undertake to publicly update or revise any forward-looking statements where the changes arises as a result of new information, future events, changing circumstances, or for any other reasons. Second, any Ensign facility or business we may mention today is operated by a separate wholly-owned independent operating subsidiary that has its own management, employees, and assets. References to the consolidated company and its assets and activities, as well as the use of the terms we, us, our, and similar verbiage does not mean to imply that the Ensign Group Inc., has direct operating assets, employees or revenue, or that any of the facilities, the service center, or the hostage business or our captive insurance subsidiary are operated by the same entity. Third, we supplemented our GAAP reporting with EBITDA, EBITDAR, adjusted net income, adjusted EPS and other non-GAAP metrics. These measures reflect additional ways of looking at our operations, which when viewed together with our GAAP results provides a more complete understanding of our business. They should not be relied upon to the exclusion of GAAP financial measures. A reconciliation of these non-GAAP measures to GAAP is available in yesterday’s press release. I would also like to take a moment and update you regarding the ongoing DOJ investigation. We through our regulatory council remain in corporative discussion with the US attorney’s office over the delivery of requested documentation, and expect that process to continue for sometime. In the meantime we have no new insight information to report since our last call, but we’re always happy to answer any questions people might have about it. With that, I’ll turn the call over to Christopher Christensen, our President and CEO. Suzanne Snapper, our CFO, will then discuss the financials and then we’ll open up for questions. Christopher. 
Christopher Christensen: Thanks Greg. Good afternoon everyone. We are very pleased to be able to again tell our shareholders that we’ve just finished another record quarter; this one in the phase of significant reimbursement head wins and other challenges coming from a downturn in the economy. As we’ve explained many times before, this success is due to the superior competency, careful management and hard work of our incredible local leaders and their teams. Although it has served us well in all kinds of situations, this is where Ensign’s bottom up, [first to then] what leadership paradigm really shined, in rapidly changing an increasingly challenging operating environment. We continue to recruit, train and support the very best local leaders in the business and we are confident that they will continue to deliver industry leading performance in return, both financial and clinical for our patients, our communities and our shareholders. I am also pleased to report that we have not only posted our best quarter ever, but Ensign has grown yet again this quarter and done so in some very different and special ways that we’ll discuss in a moment, but first a couple of key numbers. Earnings for the quarter were up over 15%, at an adjusted $0.45 per fully diluted share; $0.02 ahead of consensus and right on track with our annual guidance of $1.75 to $ 1.79 per share. Revenues were $154.2 million, also on track with our annual guidance of $605 million to $615 million. We are reaffirmation both our EPS and revenue guidance for the year to-date. These results will enlarge the product of carefully focused expense control across the organization, and accelerating turn arounds in several of the 17 new facilities we acquired, beginning in the first quarter of 2009. Our quarter-over-quarter highlights include; revenue grew more than 18%, EBITDA grew over 24%, and our EBITDA margin grew nearly 5%, surpassing the 14% mark. Skilled revenue grew nearly 22%, while same store skilled mixed grew more than 7% to 54% of revenues, and net earnings grew by 18%, and our consolidated net income margins remain steady at 6.1%, even including all of the recent acquisitions. Occupancy was another bright spot, with same store occupancy approaching 83%, and occupancy in our transitional facilities climbing over two percentage points to nearly 70%. As you can see, occupancy continues to grown in facilities we've operated for more than a year, consistent with our past history. Remember that our patter of accruing distressed properties with unusually low initial occupancies continually holds our average overall occupancy at or around the 79% level. This is why we report same-store and transactional performance, so that you can see exactly how we are progressing in each of these three somewhat different asset classes. Susan will discuss the numbers in more detail in a moment, but first I'd like of have Greg briefly discuss some of our growth. 
Greg Stapley : Thanks Christopher. As you probably know we acquired 15 long term care facilities in 2009, which was a big push for us. We are pleased to report that and to group those new accusations are transitions quite well. We also acquired some more hospice businesses in the greater Dallas market with one of them. By design we've been using that business as a bit of a laboratory if you will, to learn that related business before considering getting into it in any bigger way. We are happy to report that our hospice business so small has already been accretive and is showing real promise as well. While it would have been easy to sit back and take a breather after a year like that, our operators would like to instead to start off 2010 with two more strategies accusations in Sothern Idaho, followed by yet two others just last week in Dallas and Huston. We are excited about these new facilities and especially about the wonderful people who joined us when we acquired their work places, and we are grateful that the former operators, both well regarded regional companies are trust their legacies to us. These acquisitions bring Ensign’s growing portfolio to 81 facilities, 51 of which are Ensign owned, and another eight of which carry purchase options. As these options exercises generally reduce our occupancy cost over time, we expect to exercise most or all of them in due course. We are particularly excited to announce today, that to an internal program we've had in place for a few years, and with lessens learned from our Dallas hospice experience, we've now expanded into the home health and hospice business in South Western Idaho. Last Saturday, an Ensign subsidiary led by our own Daniela Walker acquired the operating assets of Horizon Home Health and Hospice, a four office home, health and hospice business based in Meridian, Idaho, which serves to greater bode the area in surrounding markets. Horizon is profitable and was purchased for just 0.37 times 2009 revenues, a significant discount to market. Horizon was founded and has been operated successfully for seventeen years by Marcie Little, a fixture in the Idaho health care community. Dani brought this strategic acquisition to us under our long standing new ventures program, which offers proven Ensign leaders a chance to scratch there entrepreneurial itch, while staying with the reaming true contributors to the Ensign group. As a native Idaho and a talented leader himself, Dani was able to couple his considerable skill sets, and local connections, with Ensigns world class operating philosophy and support systems. Working with Ms. Little and her outstanding staff, she has devoted the last several months to personally make any transition from our skilled nursing and service center functions, to preparing herself to know, understand and lead this dynamic business, and our service center as well is full prepared to back Dani and his team. We expect Horizon to already broadly reach into the Idaho health care community, to not only help us grow all of our business lines in that part of the country, but we also expect the growing expertise is this new operating arena to function as a spring board, allowing us to eventually acquire and/or start up new home health and hospice business in other strategic markets, creating additional value for share holders. We continue to actively seek opportunities to acquire both well performing and struggling long term care operations across the Western United States, and we expect to continue our patter of disciplined growth in the near tear. We have significant cash on hand and we still have an uncapped $50 million credit line in our pocket. We also have 30 faculties and we won free and clear, with well over a $150 million in levered equity in our portfolio. All of these resources can be used to finance additional growth as opportunities arise. With that I'll hand it back to Christopher. 
Christopher Christensen: Thanks Greg. Before Susanne discusses the financials, I'd be remiss if I didn’t take another moment to explain more about our front line leaders and their teams, and how they product these record results in such a difficult operating environment. As I've often noted, even more than our strong balance sheet and solid operating history, it is the strength of our talented leaders at the local level which make such results possible quarter after quarter. These leaders who immerse themselves in there individual markets and push daily to make their facility the facility of choice in the market they serve, make Ensign unique. As you know, the Ensign operating model affords these unique local leaders the latitude they need to be nimble and respond to demands of there unique markets. Ensign simultaneously supports them with word class systems, technologies and specialists. While we certainly share best practices across the organization and monitor both financial and clinical performance in these distinct operations, we do not attempt to impose a single set of top-down one size operating methodologies across each market. The discipline inherent in this model continues to produce superior operating results in spite of general market conditions. The results these leaders produce build up overtime, as they and there operations mature and grow to dominate their markets, and it can be remarkable. We firmly believe that financial performance follows clinical quality, and each of the following examples illustrate that point. At our Park Avenue facility in Tucson, Arizona, Executive Director, Ellen Courtey [ph] and Director of Nursing Sheila Somnay, had taken the facility with the porous repetition in Sothern Arizona, our recent special focus facility with the CMS 1 start rating, and turned it into a five start facility with stellar survey results an excellent reputation and naturally outstanding clinical and operating results. Although Park Avenue’s occupancy has just begun to climb, skilled revenues are already up over 7% and EBITDA has grown over 120%. At our Atlantic Memorial Healthcare Center in Long Beach, California, our newest CEO [Rusty Marce] and COO [Armeda Fessler] have led that formally averaged facility to 142% quarter-over-quarter increase in net income, with occupancy at 93%, and skilled mix of over 65%, making it one of the most popular and selective facilities in the state. At Carmel Mountain Rehabilitation and Care Center in San Diego, California, the leadership team of CEO Andy Ashton and COO Cynthia Francia, have immersed themselves completely in their market, discovering in the process a compelling need for an active respiratory therapy program in that market. Armed with real market data, gathered directly from other providers in their area, they converted one portion of their facility to a 26 bed sub-acute unit in mid 2009. Today that bed unit or sub-acute unit remains at or near full occupancy all the time and Carmel’s overall occupancy has grown to 94%, with a 65% skilled mix, and a 140% quarter-over-quarter increase in net income. Finally, at our Timberwood Nursing and Rehabilitation Center in Livingston, Texas, executive director Tim Burningham and director of nursing Diane Frankins have catapulted that facility into the ranks of our top performers with occupancy jumping 12% to over 87%, skilled mix up to 45% and net income up over 64%. There is so many other stories like these across the organization. Many of our facilities remain in the early stages of the transition process, and we believe that the opportunities for organic growth across the company’s expanding portfolio are more compelling than ever. These opportunities become successes as our local leaders continue to focus on becoming the provider of choice in their market, and consistently grow occupancy revenues and earnings, even in challenging market cycles. We continue to invest about $20 million a year in upgrading our physical plants. Renovations take beds out of service, and tend to take a temporary toll on operations, but we strive to minimize the cost and our local leaders work very hard to minimize the operational impact of renovation activities. For example, during the quarter about a third of our transitional facilities, which are those that we have operated for more than one year, but less than three years are undergoing significant renovations and additions. Although the group posted about a 1% drop in revenue, we are pleased to report that through excellent expense management, their combined EBIT actually grew 27%. We are also pleased to report that those particular renovations are now nearly done, and we are seeing skilled occupancy in top line return even faster than the renovations are being completed. We are also very encouraged by the past and anticipate future successes of our new markets and new ventures programs. These programs have helped us expand our core skilled nursing business in the new markets, and to leverage off the expertise required in that business, to extend our reach into new business line such as the Home Health and Hospice Platform we acquired in Idaho last week. We pledge to pursue these new opportunities in a very disciplined fashion, but to be aggressive and make sure that they have every opportunity to succeed once we step into them. As you tell, we believe strongly in our outstanding leaders. We are pleased that some of the best among them would make the personal commitment, and take the personal risk to give themselves wholeheartedly to these entrepreneurial ventures, and to thereby extend Ensign's growing influence in the healthcare world. It is true them and our other local leaders that we will realize our mission of bringing a new level of quality and dignity to the long-term care industry, doing it one facility at a time. We re also continuing to remain vigilant and responsive as changes occur around us. In the meantime, we remain financially sound with the lowest debt ratio and strongest balance sheet in the industry, a solid cash position and very manageable real estate cost. Even after a very robust year of acquisitions, the EBITDAR’s have yet to catch up with the new debt. Ensign's adjusted net-debt-to-EBITDAR ratio is still only 2.1 times, and as of March 31, we still had over $41 million of cash on hand. We remain committed to keeping our cash flow strong, and our debt relatively low and we continue to commit capital to our ongoing acquisition and renovation programs as we look to the future. With that, I’ll turn the time over to Suzanne to provide more detail on the company’s financial performance.
Suzanne Snapper: Thank you Christopher and good afternoon everyone. This quarter we set another earnings record. For the quarter ended March 2010, the company reported adjusted net income of $9.5 million compared to $8.1 million. Diluted adjusted earnings per share was $0.45, compared to $0.39, a 15.4% increase. These results suit expense adjustments related to acquisitions as 0.2 million. This quarter we also set another record for revenue. Total revenue was $154.2 million, up 82.3% over the prior year quarter. Our revenue growth was mainly attributable to, and improved higher acuity mix in our same star facilities, which grew to 54%, followed same store occupancy of 83%, which grew 47 basis points; the addition of two new facilities during the first quarter of 2010, as well as ongoing performance and our fifth unit 2009 acquisitions. Key metrics for the quarter include GAAP net income that increased 8.2% to 9.39%, up 40% per diluted share. EBITDA increased 24.2% to 21.69%, and consolidated EBITDAR margins created a fixed 2.4%. As we continue to strengthen our clinical offerings and raise our APD levels at amateur facilities, we expect this to exchange lease at that time. As we typically acquired Medicaid focus facilities, we anticipate that during and after periods of acquisition growth, a consolidative skilled mix and occupancy will be diluted by lower occupancy and mix, and recently acquired and transitional facilities. In reviewing the strength of our financial position as of March 2010, cash and cash equivalents were $31.5 million. The company generated net cash from operations of $10.39 million, out of which $9.39 million was attributable to earnings. $5.3 million was related to non-cash items including depreciation and amortization, provision for doubtful accounts, and stock-based compensation. Net operating assets and liabilities grew by $4.3 million, which was primary towards the growth and accounts receivable as revenue growth, particularly in recently acquired facilities which typically experienced collection delays of up to six months and more as we await conclusion of the change of ownership process, of state and federal reinvestment programs. Net cash used in investment activities during the three months was $6.9 million, which was primarily related to present acquisitions and purchase of GE. Net cash used in financing activity for the quarter was $0.9 million. In addition, the number of facilities we own free and clear have grown to 30. Overtime we expect to leverage the unencumbered equity and our wealthy portfolio to fund further expansion, and we continue to maintain our five-year $50 million revolving credit facility with GE, which was uncapped at the end of the first quarter. We believe that with our current cash balance, strong cash flows, the equity in our existing real estate portfolio, and the availability of our credit facilities, we are well positioned to continue executing on a disciplined growth strategy in 2010. As we published in yesterday’s press release, we are reaffirming both our EPS and revenue guidance for the year, with 2010 revenue to range from $605 million to $615 million and diluted earnings per share of $1.75 to $1.79. In giving these numbers, I remind you again that our business can be lumpy from quarter-to-quarter and year-to-year due to the unpredictability of government reimbursement system, delays in state budgets, seasonality in skilled mix, the impact of our general economy and other factors. Performance is also impacted by fluctuating stock based compensation expense, the cost of being a public company, and other matters that have little to do with operation. In addition, during periods when our opportunistic acquisition activities are accelerating, it is both common and expect to see some short term pressures on earnings and margins, and how we can begin to develop the long term potential, we believe is inherent of operation. But as you can see from our projections, we continue to see ample opportunities for additional improvements across the entire portfolio in 2010, and we believe we are already seeing it. I will now turn it back to Christopher to wrap up.
Christopher Christensen: Thanks Suzanne and thanks everyone who is on the call. We hope this discussion is helpful. As always, I want to conclude by thanking our outstanding clinical and operational leaders, and their teams for a solid start to 2010. Many of them have made great sacrifices in the organization on our behalf, and I wish that I had the time to share all of their stories with you. I’d also like to thank our dedicated service center team, who worked tirelessly in their stewardships as we all do, to support the field and make Ensign grow. We’d also like to thank our shareholders again for your support and confidence. With that Mary, can you please instruct the audience on how we proceed with the Q-and-A.
Operator: Thank you. (Operator Instructions) Our first question comes from Jerry Doctrow from Stifel Nicolaus.
Ashley Curtis - Stifel Nicolaus: Hello this is actually Ashley Curtis in for Jerry. Just a few questions for you; I was wondering first, could you talk a little bit more about your recent acquisition of Horizon. Was this more opportunistic in terms of the valuation you received for the dealer or strategic and that you are looking to expand in the Home Health and have been looking at this for a while? 
Christopher Christensen: Yes. really it was more strategic, but I will tell you that because of the way in which the transaction took place, and the great concern and care that the seller had for the company itself, the way the deal was struck, it was more -- I guess what I’m trying to say Curt is, we didn’t do the deal because it was some great deal. Even though the deal terms are terrific, we did the deal because it was something that made sense in that particular market, and it made sense for the person who is going to be leading that deal, who is very excited about both the geography and the business itself.
Ashley Curtis - Stifel Nicolaus: I guess the fact that you already have a presence and it probably helps you gain traction as well right.
Christopher Christensen: That helps; although I will tell you that the size of that company is large enough that Amit is really a very small company as compared to the size of the Home Health Hospice company.
Ashley Curtis - Stifel Nicolaus: Okay, and you indicated you are looking to possibly expand Home Health and Hospice into California, maybe Arizona, Texas, some of these other areas where you definitively have a big presence in the SNF side right?
Greg Stapley : Well I think we are going to have -- the way we are set up, and both Christopher and I have alluded to our new markets and ventures programs, the way we are set up we can take these things just about anywhere we want to go. We just want to be sure, before we do that, that we are on a solid footing as we think we are with this. That we fell good about the business, that we are successful at it, that we find some operating advantages that we can bring to do it better than others, and as we do that, and I think we really have a great platform to do that, I think you can expect to see us grow into other markets and to other places weather we do it by acquisition or by start-up.
Ashley Curtis - Stifel Nicolaus: And how is the current acquisition pipeline looking, do you see many opportunities, and have valuations changed at all.
Greg Stapley : The acquisitions we just did, we fell we got a very good deal on and ones we did at the beginning of the year. We fell like we got a very good deal on them. We are seeing additional acquisitions, opportunities in the pipeline. After a year like last year, I do think we are being a little more strategies this year, particularly in markets where we've prone a lot, but the pipeline is robust as ever. The piecing we are seeing, its still little all over the map, but we are seeing some gems in there and those are the ones that we tend to pick off, and I think we are going to continue to grow this year. 
Christopher Christensen: Curt, just to add to that, we'll continue to make acquisitions, the pipeline looks good, but do recognize that we’ll be comparing acquisition opportunities to the organism opportunities we have in our existing portfolio right now, and those are as good as they've ever been. So we'll be looking at both as we consider whether the acquisition makes senses.
Ashley Curtis - Stifel Nicolaus: And I think you make comments last quarter that you thought many be you could get to 81% occupancy roughly, if you didn’t make any additional acquisitions. Do you still fell pretty confident in that number? 
Christopher Christensen: Well if you look at where we are in the same-store, we stop tomorrow and let things sort of take the way it’s sort of -- that’s running behind it’s sort of catch up, I think we could push to 81 and 83 and well beyond. Our most mature facility is here in Sothern California right in the mid-90 some of them. That’s an easy answer to give. 
Ashley Curtis - Stifel Nicolaus: Okay and just one last one. Obviously States are starting to open up budgets again, we are in the spring. Can you give us any color on the Medicaid environment, how that’s looking? 
Christopher Christensen: Yes, Curt Medicaid did you say?
Ashley Curtis - Stifel Nicolaus: Right.
Christopher Christensen: Yes, the guidance we gave I think will turn out to be pretty accurate. We are seeing some declines that we still haven’t seen in certain states where we are smaller. It looks like we'll see some decreasing rate in places like Idaho and Washington later in the year. Those represent obviously a small fraction of our revenue base, but we don’t see any big surprises on the horizon, anything differently than we anticipated. It’s a little different than maybe what was advertised out there, but so far it’s looked pretty consistent with what we expected when we gave our guidance.
Ashley Curtis - Stifel Nicolaus: Okay great, thanks a lot.
Operator: (Operator Instructions) Our next question comes from Jim Bellessa from D. A. Davidson.
Jim Bellessa - D. A. Davidson: Good morning.
Christopher Christensen: Hi Jim.
Jim Bellessa - D. A. Davidson: I’d like to go over your guidance. When you gave the guidance last February, you indicated that revenue forecast was $605 million to $615 million, and there was an assumption there that there would be no additional acquisitions. You have now made an acquisition in Texas and one in Idaho, yet you haven’t increased your revenue guidance, how come?
Christopher Christensen: Just one correction, and you are right, we did say that, but remember we did include the Idaho acquisition in that guidance. We knew about that and had that included.
Jim Bellessa - D. A. Davidson: The Home Hospice business you had already in your guidance?
Christopher Christensen: No, the two Idaho facilities, that’s what you are referring to.
Jim Bellessa - D. A. Davidson: No, I’m talking about the Texas acquisitions on May 1, and the Idaho Home and Hospice business.
Christopher Christensen: Right, I think we wanted to see how the year plays out Jim. Those acquisitions on the revenue side take us to the upper end of our guidance, and if we see something compelling that says it’s going to take us outside of that guidance, then we will make the adjustments accordingly, but you are right. On the revenue front, these acquisitions do take us to the high end of our guidance range.
Jim Bellessa - D. A. Davidson: If I were to just annualize the first quarter revenues, I’d get above your guidance range. So are you expecting if things remain static that you are going to have a lower reimbursement rate for the rest of the year.
Christopher Christensen: No, but remember Jim, if you look back at history, first quarter has always been a very strong quarter. One of the reasons we always say in this call, we try to remind everybody of the lumpiness is, we try not to guide our business on a quarterly basis. It’s an annual basis and beyond, and second quarter and third quarter do have a tendency to fall off a little bit in revenues. So we are trying to not get overly excited too early, until we see how the second quarter turns out on the revenue front, but we do feel very comfortable with how things are progressing in our markets and our facilities and it’s a great question.
Jim Bellessa - D. A. Davidson: If I’m understanding correctly, if I heard it correctly, if I take the acquisition cost of that Sothern Idaho Home Health and Hospice business, and gross it up for the 0.37 times multiples that you bought it at, if I heard it correctly, that’s over $7 million of revenues, is that a correct calculation?
Christopher Christensen: That’s pretty close, yes.
Jim Bellessa - D. A. Davidson: Then, this nice improvement that you had in occupancy in the most recent quarter versus the fourth quarter, is this not on a level that’s maintainable for the rest of the year. Do you probably expect it to inch down?
Christopher Christensen: It’s a good question. I don’t think we expect it to inch down Jim. Again, second quarter tended to be a little bit softer. I think we talked about this last year. I don’t know if it’s because of the weather or what have you, but we are trying to be a bit conservative with our estimates and want to see how the second quarter is progressing. We don’t have any evidence that it’s soft yet, but traditionally that’s how the second quarter has been
Suzanne Snapper: I want to just add that we had a great first quarter and if you looked at our same store mix it's at 54%. The two acquisitions in Texas are traditional type of acquisition where they are turnaround acquisition, so keep that in mind as you are looking at those projected numbers.
Jim Bellessa - D. A. Davidson: Thank you very much.
Operator: (Operator Instructions) I’m not showing any questions at this time.
Christopher Christensen: Okay, well Mary, thank you
Operator: Actually, I’m sorry we do have two questions, would you like to take them?
Christopher Christensen: Okay.
Operator: Okay, we do have a question from Wayne Simmons [ph] from Vianard Investments [ph].
Wayne Simmons - Vianard Investments: Hi, good afternoon.
Christopher Christensen: Hi.
Wayne Simmons - Vianard Investments: I was wondering if you could just provide a little bit of detail on how much of the growth that we are seeing is organic versus acquisition.
Suzanne Snapper: On the same store front we have revenue growth of about 4%. If you look at our financial we’ll break into various buckets as we get into same store transitioning and recently acquired, and so that’s how you can kind of differentiate it, the amounts in each bucket.
Wayne Simmons - Vianard Investments: Okay great, thank you.
Suzanne Snapper: You are welcome.
Operator: (Operator Instructions) Our next question comes from Jerry Doctrow from Stifel Nicolaus.
Ashley Curtis - Stifel Nicolaus: Hi, just one more question for you. I was wondering if you had any thoughts on the RUGs IV implementation or hearing that the delay should probably be reversed and you should get implementation probably some time October 1 or January 1. I’m just wondering if you have any comments.
Christopher Christensen: Yes, we probably hear the same thing that you hear. It looks today like it will actually go into effect on October 1, and that has changed about three times over the last three or four months, but it’s looking fairly probable that that will go into effect.
Ashley Curtis - Stifel Nicolaus: You would argue that probably your internal growth opportunity, and just given CMS’s intended budget neutrality, it probably shouldn’t have a material impact.
Christopher Christensen: It would have a material impact if we didn’t adjust some things, but you are right; if our local leaders are making the adjustments that they ought to make, there are some things that we don’t do currently that some of the changes allow us to do, and so we will be making some changes to some of our practices that should counter balance, some of the reimbursement changes.
Ashley Curtis - Stifel Nicolaus: Okay great. Thanks very much.
Operator: (Operator Instructions) I’m not showing any questions.
Christopher Christensen: Okay, thank you Mary, and thanks everyone for joining this call. We appreciate your time.